Operator: Greetings and welcome to Americold Realty Trust Fourth Quarter and Full Year 2020 Earnings Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] Please note this conference is being recorded. I'd now turn the conference over to your host, Scott Henderson, SVP Capital Markets, Treasury and IR. You may begin.
Scott Henderson: Good afternoon. We would like to thank you for joining us today for Americold Realty Trust fourth quarter 2020 earnings conference call. In addition to the press release distributed this afternoon, we have filed a supplemental package with additional detail on our results, which is available in the Investors section on our Web site at www.americold.com. On today's call, management's prepared remarks and answers to your questions may contain forward-looking statements. Forward-looking statements address matters that are subject to risks and uncertainties that may cause actual results to differ from those discussed today. A number of factors could cause actual results to differ materially from those anticipated. Forward-looking statements are based on current expectations, assumptions and beliefs, as well as information available to us at this time and speak only as of the date they are made. And management undertakes no obligation to update publicly any of them in light of new information or future events. During this call, we will discuss certain non-GAAP financial measures including core EBITDA, core FFO and AFFO. Full definition of these non-GAAP financial measures and reconciliations to the comparable GAAP financial measures is contained in the supplemental information package available on the company's Web site. We also would like to note that numbers presented in today's prepared remarks have been rounded to the nearest million with the exception of per share amounts. This afternoon's conference call is hosted by Americold's Chief Executive Officer, Fred Boehler; and Executive Vice President and Chief Financial Officer, Marc Smernoff. Management will make some prepared comments, after which we will open up the call to your questions. Now, I will turn the call over to Fred.
Fred Boehler: Thank you, and welcome to our fourth quarter 2020 earnings conference call. We hope everyone on this call and their families are well. This afternoon I will discuss our fourth quarter and full year 2020 results and activity. I will then update you on our external growth initiatives, discuss our view of market conditions for the year ahead and then comment on our ongoing ESG efforts. Marc will then review our quarterly and full year results in more detail as well as our capital markets activity and provide guidance for 2021. After our prepared remarks, we will open the call for your questions. Let me start by stating that while the events of 2020 were challenging for all of us, we are very proud of the consistency and stability of our core business and Americold's ability to deliver results in line with our pre-COVID guidance. The COVID pandemic continues to be a Black Swan event, and it has significant impact on many people, families and businesses around the world. Against this year's challenging backdrop of the COVID pandemic, we continue to deliver strong results. This is attributed to our portfolios diversity and scale, the effectiveness of the Americold operating system and our commercial processes. For the full year 2020, our global warehouse same-store pool generated total revenue and NOI growth of 2.3% and 5.6% on a constant currency basis. Due to the strength of our platform, we were able to overcome the supply chain disruption and financial impact of COVID while still achieving our guidance targets. We grew AFFO per share by 10.3%, overcoming these events while maintaining a low levered and flexible balance sheet. In the fourth quarter consistent with what we have seen since COVID began, inventory flows and activity did not revert back to normal levels. In our global warehouse same-store revenue decreased by 1.4% on a constant currency basis. However, as a result of the diversity and scale of our portfolio and the strength of the Americold operating system, we were able to overcome the fluctuation and customer supply chains and achieve global warehouse same-store NOI growth of 3.3% on a constant currency basis. In addition to the strong results we saw in our core business, we continue to execute on our external growth strategy throughout 2020. We continue to actively work with our customers, but they seek to expand their temperature control supply chains on a global scale, as evidenced by our $461 million of development starts in 2020. As we look ahead, we will continue to be strategic with our expansion and development projects and focus on opportunities to serve our customers while growing the overall value of our network. As part of our Agro acquisition, we acquired two development projects in Lurgan, Northern Ireland, we are working on a $9 million expansion project expected to be completed in mid-2021. In addition, Agro acquired land adjacent to its existing facility in Dublin, Ireland, which will allow for further development in that market. We are currently underwriting this project. Please see our supplemental for more detail on the Lurgan project, which has targeted ROICs consistent with our previous development projects. Now let me summarize our acquisition activity. On December 30, 2020, we closed on the $1.7 billion acquisition of Agro merchants Group. Agro was previously the fourth largest temperature control warehouse company globally and the third largest in Europe. The Agro portfolio included 46 facilities located in 10 countries, totaling 236 million refrigerated cubic feet and which serve over 2900 customers. This acquisition established our strategic footprint in Europe, further diversified our customer base and commodity mix and provided significant internal and external value creation opportunities. Hans Kroes who previously worked at Agro as President of Europe and was also CEO of Kloosterboer, the second largest European platform has joined Americold to lead operations in this region. He has a seasoned industry executive with significant experience in the temperature controlled storage industry in Europe. At this time, we are focusing on the integration of the Americold operating system and commercial processes throughout the Agro portfolio, which is previously stated will take up to five years to fully complete. Also in the fourth quarter, we completed the acquisition of Hall's Warehouse Corp for $480 million. The Hall's acquisition allowed us to add an integrated portfolio of eight facilities located near the port of Newark, New Jersey. With the acquisition of Hall's and the acquisition of Agro, we have strengthened our presence in the northeast, and we now operate 11 facilities totaling almost 90 million cubic feet in New Jersey alone. In addition to Agro and Hall's in 2020, we completed the acquisitions of Nova Cold Logistics in Canada, Newport Cold in Minnesota, AM-C Warehouses in Texas, Caspers Cold Storage in Florida. The Nova Cold transaction enabled us to establish a platform in Canada, a key strategic market for us and the Newport Cold, AM-C and Caspers transactions allowed us to bolster our presence in important U.S. legacy markets. In total, we closed on approximately $2.6 billion of acquisitions in 2020 and added 62 facilities totaling 342 million cubic feet to our global network. Finally, we also completed our initial investment into our Brazilian JV with SuperFrio and through Agro, we inherited a joint venture with Brazil based Comfrio. Over the past year, we have grown our global platform and scale significantly by entering key strategic markets across nine countries in Europe, North America and South America. At this point, our platform supports customers in 13 countries across four continents. As we look ahead, we will continue to focus our M&A activity on strategic transactions and enhance our network. We also continue to maintain a large development pipeline made up of customer dedicated building suits and multi-tenant major market builds. Now, let me take a few moments to discuss our outlook for 2021. We all welcome the news of the vaccine in November 2020. At the same time, we experienced the second wave of COVID that sparked new lockdown measures across the globe. As we expect that the factors that impacted our business in 2020 will remain in 2021. This includes continued supply chain variability, food service levels, well below historic norms, elevated retail activity, protein production at less than full capacity and continued sanitation and PPE costs. We will also continue to be impacted by inefficiencies due to our social distancing, staggered schedules and other changes in staffing and processes. With that set, we still expect that food consumption will stay relatively consistent with previous years. As a reminder, our portfolio is diversified by geography, customer commodity type, facility type and node in the supply chain. This helps us to reduce volatility from shifts and consumption behavior and even specific commodity disruptions. As we experienced throughout 2020, we expect that there will be changes in consumer behavior as individual states, regions and countries shift between being open or locked down. While we do not know when things will return to normal, we remind you that Americold's infrastructure serves all parts of the food supply chain, both foodservice and retail. We are well positioned to support these fluctuating dynamics. From a new supply perspective, barriers to entry in our business remain high and our platform is difficult to replicate. Americold has an integrated global network of temperature controlled infrastructure, which we continue to enhance through acquisitions and development. Over many years, we have invested significant capital into our business and we benefit from our deep customer relationships, proprietary technology, the Americold operating system and the commercialization of our business. Before I turn the call over to Marc, let me comment on our ESG efforts. We believe that our core mission serves the public good as we maintain the integrity of the food supply by reducing food waste. In the markets, we serve our facilities to help to effectively eliminate spoilage. For perspective, the United Nations estimates that globally, approximately 14% of food produced is lost between harvest and retail, with this number being closer to 25% in developing markets without advanced temperature controlled supply chains. As a part of our Americold operating system, which seeks to drive efficiency, we remain committed to improving our energy efficiency and enhancing the sustainability of our infrastructure. In 2020, the Global Coal Chain Alliance awarded 29 of our facilities gold or silver certifications as a part of its energy excellence recognition program, bringing our total at year end to 161. Excluding our 2020 acquired facilities, over 95% of our legacy warehouse segment portfolio is now certified gold or silver in this program. As we look ahead, we will continue to pursue certifications for facilities in our legacy portfolio, as well as for facilities from our recent acquisitions. Further, we continue to harness new technology to drive energy efficiency in our facilities, including utilizing variable frequency drives for our fans and compressors, thermal energy storage and improve last freezing technology. We also continue to focus on LED lighting, solar power and rainwater harvesting to name a few. From a personnel standpoint, we continue to work each day to support our associates who are our greatest asset. This was especially true in 2020, as our industry was deemed an essential service and our team members performed tirelessly day-after-day to ensure the integrity of the food supply chain. As you've heard me mention before, safety is a top priority at Americold. We continue to be industry leaders and 2020 was our sixth consecutive year with an improvement in our total recordable incident rate. We also continue to invest in sanitation, PPE and other health safety measures. Finally, we continue to invest training and advanced programs to help our associates develop. In summary, we are very proud of our work in 2020, which was a landmark year in many ways. We are very grateful to our entire team for their hard work to support our customers and communities drive same-store growth against significant challenges, and meaningfully expand our business through numerous development projects and strategic global acquisitions. I'll now turn the call over to Marc who will provide more details on our results, balance sheet and outlook for 2021.
Marc Smernoff: Thank you, Fred, and good afternoon, everyone. Today we'll provide updates on our 2020 performance, summarize the impact of our 2020 transactions and capital market activity and introduce our outlook for 2021. For the fourth quarter, we reported total company revenue of 524 million and total company NOI of 152 million, which reflects 7.8% increase and an 11% increase year-over-year respectively. Core EBITDA was 117 million for the fourth quarter of 2020, an increase of 7.5% year-over-year. This was driven by our 2019 and 2020 acquisitions and development, excluding Agro as well as solid growth within our core portfolio. This was partially offset by higher COVID-related costs and higher corporate SG&A. Our core EBITDA margin remained relatively flat at 22.4%. For the fourth quarter 2020, we reported a net loss of 44 million, compared to net income of 21 million for the same quarter of the prior year. The net loss was driven by three items; first, the $45 million non-cash charge related to a currency hedge for our recent debt private placement; second, an increase in our acquisition litigation and other expense to 27 million, primarily due to acquisition activity and the cyber security incident. Finally, we incurred an $8 million expense resulting from breaking certain interest rate swap agreements on our unsecured term loan. It is important to note that all three of these expenses are excluded from core EBITDA, core FFO and AFFO. Our fourth quarter core FFO was 82 million, or $0.39 per diluted share. Our fourth quarter AFFO was 77 million or $0.37 per diluted share. For the fourth quarter 2020, global warehouse segment revenue was 408 million, which reflects growth of 6% year-over-year. Global warehouse segment NOI was 146 million, which reflects growth of 12%. Global warehouse segment NOI margin was 35.7% for the fourth quarter, 196 basis point increase compared to the same quarter of the prior year. The NOI growth was primarily due to improvements in our core business, higher retail activity, accretive acquisitions, and the benefit of the Americold operating system, offset by reduced throughput and protein and food service sectors. Our NOI growth and margin expansion was partially offset by COVID-related expenses, coupled with the revenue impact of the cybersecurity incident. With respect to these incremental COVID expenses, total sanitation and PPE costs were approximately 1 million for the fourth quarter, which was consistent with last quarter. As a reminder, we also encourage higher COVID-related soft costs, including labor and efficiencies. We now underwrite these costs, and expect to reduce their impact to our margins over time. At quarter end, we derived 40.7% of rent and storage revenue from fixed commitment storage contracts on a combined pro forma basis, which is a 140 basis point decrease from the sequential quarter, primarily driven by our acquisition activity. Fixed commitment revenue increased on the absolute dollar basis to $284 million. As we integrate our recent acquisitions, many of which have a limited percentage of fixed commitment contracts, we believe we have an opportunity to better commercialize the business, which benefits both our customer and Americold. Please note that Agro, which currently has very little revenue from fixed commitment contracts, is not included in this pro forma number. At the end of the year, our global portfolio consisted of 238 facilities, including the 46 we acquired from Agro. Our total facility count includes 229 facilities in our global warehouse segment portfolio and nine facilities in our third-party managed segment. Now I'll turn to our same-store results in our global warehouse segment. As a reminder, our facility is counted as same-store if it meets our definition at the beginning of the year, and the same-store for 2020 included 135 facilities. Additionally, in a typical year, the fourth quarter is the strongest in terms of activity due to the impact of the fall harvest and the holidays. Shifts in consumption patterns from COVID meaningfully impacts our quarterly year-over-year comparables. This is why we focused on our business on an annual basis. For the fourth quarter of 2020, our same-store global warehouse segment revenue was 302 million, which reflects a decrease of 0.5% year-over-year and a decrease of 1.4% to constant currency basis. Same-store global warehouse NOI was 111 million, which reflects an increase of 4% year-over-year and an increase of 3.3% on a constant currency basis. Our revenue was impacted by lower services revenue, primarily due to the ongoing impact of reduced protein volumes and food service activity. Same-store global warehouse NOI margin increased 157 basis points to 36.7% as we continue to benefit from the Americold operating system and our commercialization efforts. For the fourth quarter, same-store global rent and storage revenue grew by 0.6% year-over-year by 0.1% on a constant currency basis. This was driven by contractual rate escalations partially offset by a decline in economic occupancy. Our same-store economic occupancy was 82.7%, which reflects the decrease of 166 basis points from the prior year, as we were impacted by reduced protein volume and food services activity. Our same-store global rent and storage NOIs decreased by 0.3% year-over-year and decreased by 0.7% on a constant currency basis. This was due to business mix, as well as increased cost year-over-year, including COVID-related sanitation expenses, higher property taxes and increased property insurance expense, partially offset by lower power expenses. Same-store global rent and storage NOI margin decreased 58 basis points to 68.9% due to the same factors. Same-store global warehouse services revenue for the fourth quarter is decreased by 1.2% year-over-year and decreased by 2.6% constant currency basis. However, our same-store global warehouse services NOI increased by 25.9% year-over-year, or 24.2% on a constant currency basis. Same-store warehouse services NOI margin was 12.6% for the quarter, which resulted in a margin increase of 272 basis points. This growth was primarily due to the disciplined cost control embedded in the Americold operating system, which resulted in a decrease in labor expenses and other services expenses, partially offset by incremental COVID PPE costs and inefficiencies. Our 2020 acquisition activity has enhanced the diversity of our customer base, while growing our wallet share with key customers. Within our global warehouse segment, we had no material changes to the composition of our top 25 customers who on a pro forma basis, excluding Agro account for approximately 55% of our global warehouse revenue, down approximately 500 basis points from 2019 year end. Additionally, our churn rate was approximately 3.4% of total warehouse revenues. Corporate SG&A totaled 40 million for the fourth quarter of 2020 as compared to 33 million for the comparable prior year quarter. The increase was driven by higher headcount to support our development pipeline. SG&A absorbed net of synergies through our recent acquisitions and higher share-based compensation. With respect to the cybersecurity incident that occurred in mid-November, let me state that Americold prioritizes all forms of safety and security, including our IT infrastructure. While all of our facilities remained operational, this incident resulted in us being less efficient at many of our facilities for a few days. Additionally, due to our commitment to our customers we had to turn away products in certain instances, which resulted in approximately 2 million of lost revenue. In the fourth quarter, we recorded an expense of 8 million associated with this incident, which falls into our acquisition litigation, other expense line items. Included in this 8 million is the cost of cybersecurity experts and legal counsel as well as incremental labor expense. This expense is excluded from core EBITDA, core FFO and AFFO this quarter. Any future insurance proceeds will be recorded as income and also excluded from these metrics. Let me update you on our Rochelle expansion. You'll note that we moved our [civilization] [ph] back for Rochelle in Q3 2021 in our supplemental. As we said on last quarter's call, we have sold all available pallet positions, the majority of which are under fixed commitments. Our customers' product is moving through the facility. However, the automation is not performing at optimal levels at the moment. The engineers who are tasked with implementing our automation are based in Europe, and that had challenges traveling to the U.S. due to continued COVID-related travel restrictions. As a result, we are utilizing more labor in the facility, which is pressuring margins and not enabling us to stabilize the facility at targeted yields in the first quarter. We expect the automation issues to be addressed over the next six months and for the project to be stabilized in the third quarter. This impact is reflected in our fourth quarter results and embedded in our 2021 guidance. On to our full year results. As previously communicated, we believe our business is most appropriately evaluated on an annual basis. We're very proud of these results against the backdrop of COVID. Let me summarize our full year results. Total revenues are 1.99 billion and total warehouse segment revenue were 1.55 billion, a 11.4% and 12.5% increased respectively. Total contribution of NOI was 551 million, an increase of 15.3%. Global warehouse segment NOI was 520 million an increase of 16.3%. For the same-store pool, global warehouse segment revenue grew 1.9% or 2.3% on a constant currency basis. And same-store segment NOI grew 5.3% or 5.6% on a constant currency basis. Core EBITDA was 426 million an increase of 16% or 16.3% on a constant currency basis. Net income was 25 million. Core funds from operation was 256 million, or $1.24 per diluted share. And AFFO was 268 million, or $1.29 per diluted share using a weighted average share count of 207 million. We grew AFFO foe per share by 10.3%. Finally, we announced 461 million of development starts and completed 2.6 billion of global acquisitions. Now turning to our balance sheet and capital markets activity, our platform to drive strong internal and external growth is supported by low levered flexible balance sheet. During the fourth quarter, we completed an equity offering to fund growth initiatives. With the exercise of the green shoe, which was comprised of forward shares, we raised total gross proceeds of approximately 1.4 billion. At the end of December, we settled 31.9 million forward shares to partially fund the closing of the Agro transaction and issued 14.2 million common shares to Oaktree Capital and Agro Management which are subject to a lockup period through May of this year. We simultaneously closed and funded our 750 million euro/dollar, unsecured debt private placement. We did not utilize our ATM program during the fourth quarter. As of December 31, we have 251.7 million shares outstanding. At year end, total debt outstanding was 3 billion. Our real estate debt had a weighted average remaining term 7.6 years and carries weighted average contractual interest rate of 3%. We had total liquidity of approximately 1.7 billion consisting of cash on hand, revolver availability and 392 million of outstanding equity forwards. Our net debt to pro forma core EBITDA was approximately 4.4x. In January of this year, using cash on our balance sheet, we were paid 200 million outstanding on our U.S. dollar unsecured term loan. Concurrently, we closed on an amendment to our unsecured credit facility and increase our line of credit from 800 million to 1 billion, pro forma for this pay down and amendment, our liquidity remained at 1.7 billion. Now, let me discuss our outlook for 2021. As a reminder, our core business remains fairly steady on an annual basis, due to the consistency of overall food consumption, the scale and diversity of our portfolio and our strong market share. Let me first comment on certain factors that underpin our 2021 guidance. First, we expect to continue to incur costs related to COVID with respect to sanitation and PPE, as well as soft costs, including labor and efficiency from social distancing. Seconds, as Fred mentioned, consumer behavior with respect to COVID and the timing of a potential full global reopening remains unknown. As of now, we do not expect the flow of product during 2021 to return to normal pre-COVID quarterly cadence. Third, while we will continue to stress the importance of looking at our business on an annual basis, we recognized quarter-over-quarter comparisons are inevitable. Please keep in mind that quarterly results in 2020 had a unique cadence due to COVID. Finally, with respect to our 2021, same-store pool, our portfolio now includes a total of 162 sites driven by our acquisition and development sites that now meet our same-store criteria. All this factored into our guidance for AFFO per share in the range of $1.36 to $1.46. Our assumptions are as follows. Global warehouse segment, same-store revenue growth to range between 2% and 4% on a constant currency basis, global warehouse same-store NOI growth to be 100 to 200 basis points higher than the associated revenue growth on a constant currency basis. Managed and transportation segment NOI in a range of 46 million to 54 million, total SG&A expense of 190 million to 196 million, including non-cash share based compensation expense of 21 million to 23 million. Current income tax expense of 9 million to 13 million, deferred income tax benefit of 1 million to 2 million; non-real estate depreciation amortization expense of 85 million to 92 million; total recurring maintenance capital expenditures in the range of 90 million to 100 million; development starts of 175 million to 300 million. And finally, please refer to our supplemental for currency translation rates embedded in this guidance. Please keep in mind that our guidance does not include the impact of acquisition dispositions, or capital markets activity beyond which has been previously announced. Additionally, please note that both deferred income tax benefit and non-real estate depreciation and amortization expense line items both non-cash items that do not affect AFFO are subject to change over the course of the year as the accounting for the Agro acquisition is finalized. This is part of the reason that we asked you to continue focusing on AFFO per share as the earnings metric in evaluating our annual results. Now, let me turn the call back to Fred for some closing remarks.
Fred Boehler: Thanks, Marc. We're very proud of our team's hard work throughout 2020 to support our customers and our communities as a part of the mission critical part of the global temperature control food supply chain. So 2020 presented significant challenges. Our team rose to the occasion and our core business remains steady and consistent on an annual basis. Also during the year, we continued to drive internal growth on our platform and took advantage of several attractive opportunities to drive external growth through targeted development and strategic global acquisitions. Through it all, we have maintained a conservative, low levered balance sheet as we executed our growth strategy. We are pleased to welcome the Agro team to the Americold family, and we look forward to growing our global business. Finally, we again want to thank all of our frontline associates and the entire Americold team across the globe for their hard work and dedication. Thanks again for joining us today and we will now open the call for your questions. Operator?
Operator: [Operator Instructions] And our first question is from Nate Crossett with Berenberg.
Nate Crossett: I was curious -- appreciate all the color you gave in prepared remarks. But how are volumes trending so far year-to-date? Like how far are we are normalized levels right now? And are you expecting volumes to go back to normal once we're fully opened up? Or are there any structural changes that occurred last year that would affect volumes permanently?
Fred Boehler: Yes, nothing structural. What's affecting the supply chain; remember now we have 5000 customers, every single one of those customers is in a different state with their supply chains and their inventory position. They're efficiencies within their manufacturing plants. So it's a little difficult to say when the full supply chain, the whole food supply chain will be back to normal because again, every customer is in a different position. So, look, from a volume standpoint, the business continues to flow through, we wouldn't judge or guide based on what we're seeing over a couple of weeks period, we just know that over the long run, over the full year basis, consumer consumption will remain pretty consistent with what it has in past years. But the way that flows through our buildings is going to be different, just like last year was different on a quarterly cadence basis.
Nate Crossett: Okay, that's helpful. I just wanted to ask also about your ability to push rent and service prices, if we really start to see inflation pick up. And I'm just curious, the month-to-month contracts, give you any benefit here, it sounds like you're going the other way trying to get more fixed contracts. So maybe you can just help us think about inflation for you guys.
Fred Boehler: Yes, I think a couple ways to think about that. Whether it's a customer that's under a firm commitment contract and of which fixed might be a component of, or a month-to-month. Remember that if anything happens that government regulations, or government mandated, like we're seeing, some states might do some things they've been pushing rate per hour, for example, at grocery chains in California and that type of thing. If we get anything that's government mandated, we're able to pass that through to our customers, even in the middle of a contract. So fixed commitment doesn't restrict us from being able to pass that on. As for just kind of general rates and other costs, I think we've said the last couple quarters that we do expect a lot of these COVID costs related with PPE and sanitation and some of the inefficiency in our operation due to staggered breaks and that type of thing will remain in our business. And so it has become a part of our cost base and remember, we use an activity based costing system when determining and pricing new business. So we will certainly incorporate that into the pricing of our business for new business, as well as in our thought processes for general rate increases to the mass public.
Nate Crossett: Okay. So I guess just one follow-on on that would be what's kind of the long-term margin guidance for your business? How much higher could we go over the next few years?
Fred Boehler: Yes. I think the best way to think about that is as you think about our same-store guidance, both the results from last year as well as the full guidance for this year and you see our NOI we're expecting to outpace revenue growth, and you've seen that convert to expanded margins in that segment. Just remind everyone to our goal here is to maximize the cash flow our four walls generate, and so as you see year-over-year very strong cash flow growth against the difficult backdrop of COVID. So Nate implied in that is, what I will take away from that is our core business, if our customer mix and everything remain the same, right, we would expect to see margin growth in that 100 to 200 basis points basis on the same-store basis. However, remember that the other variable that comes into play is business mix and customer mix. So, for example, I might bring on a large retailer as a part of our business, and they typically run with lower margin. So our margin percentage may not rise, but again to Marc's point, the cash flow will increase in our core business under the same-store guidance will continue to improve. So hopefully that helps. There's a couple different variables that are impacted.
Operator: Our next question is from Emmanuel Korchman with Citi.
Emmanuel Korchman: Just thinking to the cybersecurity incident, and especially the revenue impact you pointed out there? Could there be broader customer repercussions that just haven't surfaced yet? Or, them breaking contracts anything like that, since you sort of had to send their product elsewhere?
Fred Boehler: No, actually, we've really been given accolades from our customers on our ability to be able to respond and get back to business, if you will. As a matter of fact, a couple of our customers actually had cyber instance, within a matter of weeks, right after we did, and we actually provided them, with some assistance and consultation and how we got through it. So, our customers were very, very pleased with the way that we responded to the business. So, it's no different than weather storm, like we're in -- current right now. If a facility goes down and customer products in route, sometimes that has to get diverted, to maybe one of our facilities, may be a competitor's facility to keep that supply chain flow going. But it reverts right back, the moment you're able to go on business. So it's a momentary blip and that business comes right back. Again, we haven't had any threats of business leaving because of the cyber attack, it's quite opposite.
Emmanuel Korchman: That's good to hear. And then, in terms of reduced protein volumes, is that a reduction in consumer demand based on sort of the white people are aware or the way people are eating or is that more on the supply constraints with the processing of plants or is it combination of both?
Fred Boehler: Yes, it's really a supply issue. If you think about it, we usually carry a lot of inventory, about 30 days worth of inventory for each one of those different proteins across the states. And when COVID hit and the manufacturers were hit with their plant shutdowns and inefficiencies and that type of thing, their outflow slump. So what happened is consumers, because their demand remained steady, they basically took down all that inventory. So instead of carrying 30 days of inventory, they might only be down to seven. So the fundamental issue that we're having is, the manufacturers are almost in a hand them out, in some cases of producing and then it's going right through our warehouses onto our end customers has, why you don't see the big inventory bill that's happening. So as the manufacturers start to improve their efficiency, through higher safety or, the COVID going away, ultimately those volumes will come back and they'll rebuild those inventories.
Emmanuel Korchman: And last one for me, it might be totally for this, but is there anything coming out of the Agro acquisition and Europe specifically that's making you shift or rethink the way you're doing business here or vice versa, and that you're really anxious to push into the process there?
Fred Boehler: I mean, look, we're obviously learning about all of their unique business side-by-side, it's kind of hard when you're not standing, I'm a visual person, so we're not standing on the floor looking at their operations. It makes it a little bit more difficult, but, I know, they do some different things, they do some packaging, and heavier import and export volume, we believe that is great business. And it's something that we can leverage and do more of here stateside, for example, and then vice versa, we have all of the big who's who and food manufacturing and grocery retail. We think that now that we have a platform in Europe, that's going to open up other opportunities, business opportunities, either to fill space and existing nodes or build new greenfield opportunities. So, it's very early. But I will say that we are having conversations with customers. Our customers are definitely inquisitive about potential opportunities down the road.
Marc Smernoff: Yes. I will tack on to that, too, is also back to our blocking and tackling. As we get to know each other and learn about their business, we continue to believe that there will be benefit from the Americold operating system and our commercialization practices as we roll that out across their enterprises.
Operator: And our next question is from Michael Carroll with RBC Capital Markets.
Michael Carroll: Fred, can you provide some color on the investment opportunities that you're seeing right now? I guess specifically, on the development side, it looks like the top end of your development start guidance is higher than the traditional run rate? I mean, are you seeing sizable near term start opportunities that's pushing that number higher?
Fred Boehler: Yes. Thanks, Mike. Well, as you know, last year was a record setting year for us in terms of development. And I think our guidance last year was 75 to 100. And we ended up at about 461 million. So obviously, we've got some nice momentum, with some great projects and the pipeline continues to be very, very healthy. So conversations are happening. We have nothing to announce at this time. But we're very excited about the pipeline that we have in front of us.
Michael Carroll: Okay. And then, can you talk about your views on the uptake and speculative development we're seeing in the temperature control space? I mean, I think in your prepared remarks, you kind of highlighted the barriers to entry. So I'm assuming you don't think it's going to impact your operating environment. But it seems like the activity is kind of really picking up there. I mean, does that make you think about your developments differently? Or is that going to take impact your operating results sometime in the future?
Fred Boehler: So, not at all. Like there's a couple developers that are out there, very, very small percentage of the overall development that's going on. And none of them have leased up facilities. So they are truce back. It's going to take an operator like ourselves, or one of our competitors to go lease that building or a food processor. But, these developers aren't going to be able to do the business themselves. That's where that barrier of entry is. So they could build the building. But who is going to operate it? Right. And so that's the missing connection there. I haven't seen one successful yet. But again, there's a couple guys out there in a couple of different markets. And we really think that it's a very immaterial component.
Marc Smernoff: Yes. Mike, just add on to that I would just remind you to when you look across our development is very targeted on large customer build to suits. So high credit quality customers who are building dedicated assets for them with a very defined purpose. Or we're leveraging across major markets where we already have a footprint. And we may not have a large hanger can't take the whole building, but we have a number of large tenants that as they grow, they need more space. So we're just expanding our existing footprint in that market, our growth very targeted and disciplined.
Michael Carroll: Okay, great. And then, I got last one, Marc, can you talk a little bit about the Rochelle run rate, I guess what NOI did they generate on that asset during the fourth quarter? And what's the ramp up into the stabilization? How big of an impact is this that you can't get the automation up and running, at least fully?
Marc Smernoff: The automation is up and running, I just want to state that all the automation is up and running. This is just a matter of anytime you introduce automation with software that's in between layers, talking to different types of equipment, it needs to be fine tuned, it's literally like an orchestra. It all has to work together. And because of COVID and because all of this automation is European based. It's been difficult during the COVID time to get resources over here. While they're working virtually and we have to have them on the ground and in some occasions, we haven't been able to keep them here long enough to really optimize it. So what we have is, we have extra labor that is in that building to ensure that our customers volume is flowing through the facility. So again, the good news here is, it's fully sold. It's all operating. It's just not operating as efficient as we would like. And all of that is taken into consideration in our results and in the fourth quarter, as well as our forward look in 2021.
Michael Carroll:  So what's the NOI impact in like say first quarter of '21? I mean, versus stables? Is it what a million lower than expected or how big of that magnitude is that?
Marc Smernoff: Look, Mike, the way I say it is, we feel very confident in Q3, that we're going to be on the full run rate, we're ramping towards it, as Fred said. We're incurring additional labor right now, to support the business. And as we fine tune that automation, we'll see those yields approach what we so called full approach. We're obviously getting the return there, because the building is -- the customers are in, the building is performing that way, we're just running excess labor at this time.
Operator: And our next question is from Dave Rogers with Baird.
Dave Rogers: I wanted to get back to you with comments about inevitability market and the quarterly comparison, you are top four, again, 4Q '19. And I think you've kind of explained it as food service, protein, cyber impact and economic occupancy. I guess, give us some good details, but I guess protein doesn't sound like it'll correct, food service won't correct and cyber will. That kind of leaves us to economic occupancy as we think about the first quarter performance against a really, really tough comp. Can you give a little more color on, getting to those numbers for the year, how you start the year and whether the cloverleaf impact is substantial enough to kind of offset any negative potential comp as you start the year.
Fred Boehler: Dave, just one point and then I'll let Marc dig into it. But look, the backdrop is really this unstable customer supply chains. That's what's driving all of it. So it's very difficult to predict exactly when those stock holdings will increase. We're really at the mercy of COVID and the impact that it's having on our 5000 customers. But, Marc, I don't know, if you want to…
Marc Smernoff: Yes. No, look, I would just, point out in there, you can look at this, but the USDA reported, holdings of certain protein, pork in particular was down 30%, from prior year, poultry was down, pending anywhere from 10% to 12%, depending on the category. So, clearly the production side, as Fred mentioned, we mentioned in our prepared remarks, it has been disrupted as a result of COVID. I would remind people, I think if you recall, during the first quarter call, we remind people that we thought we had approximately 6 million NOI lift as it related to the COVID activity. In the first quarter that's going to be a tough comp. But I remind you our guidance, full year guidance, we had a very difficult year and this year COVID. And we delivered very strong, same-store results growing NOI is 5.6% constant currency basis. And we think the business is strong, it's further diversified through our recent acquisitions. And we're well positioned to execute as we move into this year.
Dave Rogers: Okay, thank you for the color. Maybe shift Fred to you on the acquisition pipeline. I mean, you haven't completed in anything big in about six weeks or so. So curious about, how you are willing about the upcoming year and the ability to source new deals. When you first came public, you talked about a lot of small tuck-ins and you've done some bigger deals. Where are we at now in the lifecycle?
Fred Boehler: Yes. Dave, thanks for the six week hiatus. Yeah, no, look, it's an extremely fragmented industry. Obviously, the middle has been hollowed out a lot by the two big players. But there are tremendous tuck-in opportunities. But, again, I would just remind everybody that our acquisition strategy is different. We're very, very focused on doing tuck-ins that are a true strategic fit that can be fully integrated into Americold, so we're looking for certain qualities and around the customer, the quality of the assets, new customers, current customers, and the culture within those operations. So, we're looking for specific things. If it makes sense, we will strike on it, we are active. So there's nothing slowing down on the acquisition front. But it is opportunistic and lumpy, which is why we don't give direct guidance.
Dave Rodgers: I guess how would you characterize that pipeline? Obviously, comparing against Agro would be difficult. But I mean, how would you characterize that versus a year ago?
Fred Boehler: I'd say that we're looking at a good number of companies across multiple continents. So I can't really give an exact number or an exact dollar value, but it's a healthy pipeline that we're continuing to be excited about.
Dave Rodgers: Last one for me, maybe a follow up an early question on the employee side of the equation, you talked about the cost side of it? Are you having difficulty sourcing employees? I mean, do you have a number of open positions or anything that would kind of give you some pause in terms of your ability to continue to drive the business going into '21?
Fred Boehler: Yes. We feel real good right now. I will say that we had some lumpiness, throughout 2020. And I think we've spoken about this a couple of times. Obviously, when retail spike through the roof, at the end of the first quarter, we had to scramble to get a lot of associates to help with that word content. And the good news is, we were able to attract a lot of people, because, unfortunately, a lot of people were getting laid off of other jobs. And then, when the stimulus checks came out and the left in unemployment kicked in, we kind of struggled a bit, because quite honestly, people were being paid more to stay at home, then, to do a warehouse job. So that made it a little bit more difficult. Once that ended, it started to pick back up again and we are well positioned and well staffed.
Operator: Our next question is from Joshua Dennerlein with Bank of America.
Joshua Dennerlein: You have the two Brazil JVs, one came from Argo. And I believe on that one, there was an option where you get down the rest of JV at year-end, January 1 of this year. What's the latest on that? And what do you guys kind of run the two JVs separately or taking like maybe combining them or is there anything to do there at this point?
Fred Boehler: Yes. What I would say is that we're continuing to evaluate our options there, we have options on both of them. You have great strategic partners down there. So we're excited about, the addition of our venture with Comfrio. And we'll continue to assess and, obviously, we want to optimize everything that we can, but we're working with our various partners to determine what that looks like into the future.
Joshua Dennerlein: And then any kind of follow up on an earlier question? Like, you entered Europe, Canada, Brazil last year, do you think we'll see you guys focus on expanding in those regions first or potentially, maybe throw in another country or region into the mix?
Fred Boehler: Yes. Look, there's a lot of countries within Europe that we're not in. So obviously, that avails itself to opportunities now that we have a foothold in the continent itself. So there is a lot of countries there will be opportunities and there's a lot of expansion, and development opportunities that will come out of this, like I mentioned earlier. We're having great conversations with our customers, there's a lot of common customers, that we have that do business, both here with us in a major way. And also in Europe and they had discussions with us in the past about building in Europe, we haven't been able to do that because we didn't have that presence. So that will certainly open up opportunities. As for entering another continent or something kind of majorly outside of the scope of where we are, like we continue to assess, it's really important as you look at some of these other areas that we're not in to understand the supply chain infrastructure as it pertains to the temperature control aspects. And unfortunately, a lot of those countries are not quite there yet, which is why we haven't entered them in a material way. So but look, we're very, very active, have lots of conversations with lots of folks around the world and when the time is right, we will enter more new markets. But there's certainly plentiful opportunities within the markets we're in, I'll remind you that in Europe, Agro, well actually -- the top 10, temperature control providers in Europe only represent 20% of the marketplace. So that's 80% of the market is available through, once you choose these types of operators and great tuck-ins types of opportunities. So we think there's tremendous opportunities in every country that we operate today, plus some additional tangential countries.
Operator: And our next question is from keeping Ki Bin Kim with Truist.
Ki Bin Kim: So you talked about some of the different factors that impacted your fourth quarter results, such as protein volumes and cyber attacks. But before you guys used to talk about just maybe the changing nature of consumption patterns, just in the consumer endpoint? How did that all play out in the fourth quarter and the holiday season? And did that make any kind of impact on your same-store revenue overall?
Fred Boehler: No, look, at the end of the day, everything that had to do with each quarter last year was COVID impacted. So we can point to discrete transactional types of situations that are clear. We mentioned protein all the time, because proteins in the news and people understand why protein has been hit from a manufacturing standpoint. So we use that as an example. But all business has been impacted in terms of the fluctuations in their individual customer supply chain. So, consumer behavior hasn't really changed a whole lot, between third quarter and fourth quarter, meaning the mix between kind of food service and retail. And we really haven't seen a noticeable change this year yet, either. And that's why, look, it's hard to predict, I wish I had a crystal ball to tell when consumer behavior is going to get back to normal, if it ever gets back to normal. It's just really hard to predict. And as such, it's very difficult to compare quarter-over-quarter, certainly on a year-on-year basis and even in sequential quarters. But again, over the course of four quarters, of course, the full year, we do expect consumption overall, because remember, we're kind of agnostic to whether it's foodservice or retail will remain consistent.
Ki Bin Kim: Got it. And what is actually in the other service cost bucket because that was down 30% year-over-year in the fourth quarter. And I'm just curious if that's at all sustainable.
Fred Boehler: Yes. So other service costs, it would include like our material handling equipment, maintenance, it includes consumables used in the operation, so it could be pallets or shrink wrap. Those are the principal costs that drive that bucket. Obviously, your PPE and those types of things will also be included in there from the COVID perspective.
Ki Bin Kim: And then going back to your guidance, just because you do have a very tough comp coming up in the first quarter and we're basically halfway through it, just so that the street isn't too far off, in reality, any kind of additional details you can share, just to help us mentally think about what can happen.
Fred Boehler: Yes, I'll just reiterate what we said on Q1 last year, which is, we felt like just the timing of the surge and the impact of COVID really was much more pronounced in terms of flipping the switch and activity. And we've called out last year, approximately 6 million of NOI as being the contribution of that all hitting the quarter. Now, as we mentioned here, we continue to say our businesses best looked at the full year basis, but as you look in Q1, we don't believe that type of surge of activity is going to recur. Yes, it absolutely won't recur. And the key to remember though, that's not 6 million that gets pulled out of the full year, that 6 million as we described last year was pull ahead. And so we felt the negative impact of that in Q2 of last year. So, again, on the full annual basis, the buying slowed, it slowed different, because everybody hoarded at the end of that first quarter. So that's why, again, every quarter, I think, as we go through this year, it's going to be difficult to compare to the light quarter from the year before, but on a full year basis, we're very, very comfortable with our guidance.
Ki Bin Kim: Just last question for me, in your guidance for 2021, your managed and transport NOI guidance is $50 million and in 2020, I think this is apples-to-apples, I think it was 31 million. I guess first of all, is my math correct? And a second, what's causing the uplift?
Fred Boehler: Yes, so that's principally came through additional activity that came through both, as example the Hall's and Agro acquisitions, they had a much larger transportation component, than our legacy business. So a lot of that's driven by the acquisition.
Marc Smernoff: And Ki just to follow-up, to make sure we picked the fee the first quarter of last year, we said about 50%, about half of that outside growth came from COVID related, so we just put it on a percentage basis of about half.
Operator: And our next question is from Mike Mueller with JPMorgan.
Mike Mueller: Just one quick one here. And I know you're not going to give out specifics, but directionally what is guide factoring in terms of economic occupancy levels and throughput considering both were down quite a bit in 2020? I mean, does it assume more of a status quo scenario or some recovery, just any color would be helpful?
Marc Smernoff: Yes. If you look across, just to be clear on the full year basis, last year economic occupancy was up a little over 100 basis points. So, that's not inconsistent with our view, as you look on throughput, clearly, throughput was down, mix does matter in our business. Also, throughput, I think, in total was down 2.7%, obviously, very much driven, as Fred mentioned, changes and fluctuations in the supply chain to COVID. As we go forward this year, and I just want to remind people, how we managed, how we drive our business, is to really focus on how we maximize four wall cash flow. And you can get it through a number of ways that no two customers are alike. I think we've talked about that lots of our customers have very different profile. So, overall, as Fred said, we think this will be another unique year due to COVID and just the impact of timing of when things start to reopen, and hopefully return to more normal levels. But we hardly think, 2021 will look like any -- like see normalized year, it's going to be unique to its own and unique from 2020.
Operator: And our next question is from Bill Crow with Raymond James.
Bill Crow: We're going to do this call again in what 70 days or something like that. And we're going to be talking about winter weather or the impact it had your results.
Marc Smernoff: When you think about the impact of the winter weather, usually what happens is two things that the product that that's in our warehouse stays longer, which sometimes can mean incremental storage expense. So and the other impact can be more activity. I will tell you, the way these usually happen is these aren't big surprises. So people see storms coming and people tend to work through their supply chain in anticipation of those events. So we'll try to get more food into the stores faster or product moved and repositioned. So we tend to see that, I will say, our facilities continue to be operational will be up and running. You may have a day or so delay but nothing we don't expect anything material.
Fred Boehler: Yes. We don't find it to be fully material. And we think about last year alone, I mean, number one, we did have winter storms during the first of the year, we do every year. And as we went into the summer, we had the highest hurricane number not huge impacts, but again disruptions in the supply chain. And it kind of moves through the supply chain to staff into just like Marc said, so we don't feel.
Marc Smernoff: It'd be more impactful if it spanned over a quarter ends. And we are right now, it's not been in such rate.
Bill Crow: Okay. And then the other question is, are you just kind of underwriting the vaccine distribution in a more fluid economic environment the second half of the year? How are you thinking about that?
Fred Boehler: We are considering it to be pretty similar to last year over the course of the year. Again, first of all, remember, there's going to be nothing miraculous, there won't be a light switch event, like there was at the end of the first quarter of last year. So if all of a sudden all of us were vaccinated tomorrow, I don't think everybody's going to go rush back to those restaurants, food services that can all of a sudden snap back overnight. And it's going to be kind of a drawn out, elongated type of process. And we think it's going to take a while. If all of a sudden, all of our manufacturers like, the large carcass protein guy, miraculously, were able to get back up to 100% efficiency tomorrow. Yes, that would have an impact, all of a sudden, the volume would start flowing, and they start filling up those facilities again and we'd have more storage. But again, I think that's going to be drawn out over the course of the year, Bill.
Operator: And our next question is from Vince Tibone with Green Street Advisors.
Vince Tibone: As food service ramps back up, do you see this as an opportunity to potentially gain share of wallet with customers as they potentially rethink their supply chains moving forward?
Fred Boehler: Most of our customers, I mean, the answer is yes and no. Yes, there could be some new opportunities with new up and comers or startups and manufacturing, mostly on the smaller scale type of basis. But most of our large customers actually manufactured goods for both foodservice and retail. So it's usually them just switching over their lines and starting to repackage and reformulate for foodservice again. So we don't expect any dramatic swing, which is why we weren't really impacted that much on a full year basis last year with that massive switch between foodservice and retail. So again, our theory is consumption happens, what we eat and where we eat may change, but if people are going to eat, so on a full year basis that all worked out.
Vince Tibone: And then just on the timing, as we think about a potential rebound in restaurant traffic, what's the kind of lag and lead time in the whole food supply chain, that if we think restaurant volumes are going to be stronger in the fourth quarter? When does that start flowing through your revenue and the whole food supply chain [indiscernible] the lag time there?
Fred Boehler: Yes. It is a lead up to it. I mean, in general, the rule of thumb is most of our customers carry about, 30 days in the inventory and their forward positions and then another 30 days of inventory closer to their point of manufacturing. So, they'll start building up as they see that steady flow. So right now, we're still holding inventory food service and still kind of trickling that out to food distribution companies like Cisco or U.S. Foods. Again, like I said, with Bill, we're not expecting, there's not going to be a switch where all of a sudden food service comes roaring back, it's going to take a while for food service to climb itself back and that gives supply chains the opportunity to get out in front of them.
Operator: We have reached the end of the question-and-answer session. And I will now turn the call over to Fred Boehler for closing remarks.
Fred Boehler: Great, thanks. So thanks, everyone, for participating tonight. Yes, again, I'm very pleased with our business performance in 2020, especially given the backdrop of the pandemic. And our business proved its ability to deliver even under the toughest conditions. I'm proud of all of our Americold associates for their hard work and dedication to deliver 2020 and set us up for what we believe to be another strong year in 2021. So thanks again and everyone please have a good and safe evening.
Operator: This concludes today's conference. You may disconnect your line at this time. Thank you for your participation.